Operator: Good morning, everyone and welcome to the TriState Capital Holdings' Conference Call to discuss financial results for the three months ended March 31, 2019. All participants will be in listen-only mode. [Operator Instructions] Before turning the call over to management, I would like to remind everyone that today's call may contain forward-looking statements related to TriState Capital that may generally be identified as describing the company's future plans, objectives or goals. Such forward-looking statements are subject to risks and uncertainties that could cause actual results or outcomes to differ materially from those currently anticipated. These forward-looking statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. For further information about the factors that could affect TriState Capital's future results, please see the company's most recent annual and quarterly reports filed on Forms 10-K and 10-Q. You should keep in mind that any forward-looking statements made by TriState Capital speak only as of the date on which they were made. New risks and uncertainties come up from time to time and management cannot predict these events or how they may affect the company. TriState Capital has no duty to, and does not intend to, update or revise forward-looking statements after the date on which they were made. To the extent non-GAAP financial measures are discussed in this call, comparable GAAP measures and reconciliations can be found in TriState Capital's earnings release, which is available on its website at tristatecapitalbank.com. Please note this event is being recorded. Representing TriState Capital today is Jim Getz, Chairman, President and Chief Executive Officer. He will be joined by David Demas, Chief Financial Officer for the question-and-answer session. At this time, I would like to turn the conference over to Mr. Getz.
Jim Getz: Good morning and thank you for joining us. On our last quarterly investor call in January, we introduced some ambitious financial performance goals for 2019. Three months later, we are as confident as ever in our ability to meet each of the following targets, continue to grow annual pre-tax income at a double digit pace of 15% to 25%; continue to organically grow loans at a double digit pace of 15% to 25%; grow treasury management deposits by $500 million or more; surpass $7 billion in bank assets; deliver double digit organic growth of Chartwell revenues year-over-year; surpass 15 billion in Chartwell assets under management through organic and acquired growth; drive operating leverage; maintain a bank efficiency ratio in the low-50s; and limit annual operating expense growth to a single digit rate; and maintain the strong credit quality metrics that distinguish us from our peers. We have a long record of delivering highly profitable growth over the long term to our shareholders across a range of operating and interest rate environments. For 2019, specifically, our financial goals are grounded on what we see every day among the independent investment advisors and other financial intermediaries, select commercial customers, high net worth individuals and institutional and retail investors we serve. We believe that demand for our company's private banking, commercial banking, treasury management and investment management offerings has never been stronger. Just as importantly, TriState Capital is very well positioned to meet this demand. This is reflected in our quarterly results as well as the very positive long term trends that characterize our business. In the first quarter of 2019 compared to the same period last year, TriState Capital grew revenue by some 16%, pre-tax earnings by 29% and earnings per share by 33%. Since the first quarter of 2013, just prior to our initial public offering, the company has grown revenue by 183%, pre-tax earnings by 292% and earnings per share by 269%. Over a similar six year period, the median $5 billion to $10 billion asset peer bank has only managed revenue growth of less than 70%, pre-tax income growth under 145% and EPS growth under 100%. The first quarter of 2019 also marks the 20th out of 24 quarters as a public company that we've grown earnings per share at a double digit compound annual rate. In addition, you are increasingly seeing the company's ability to self-generate meaningful capital through retained earnings from operations. Comparing first quarter results in 2019 and 2018 also showcases how both our asset manager and our bank are truly reaching critical mass with revenue growth easily outpacing the 12% increase in non-interest expense. This includes the typical seasonal first quarter increases in compensation and benefits expense. We continue to improve operating leverage, while consistently investing in talent and other aspects of our business. Building on TriState Capital's scalable branch list business model, the bank's efficiency ratio also remained in the mid-50s at 56.30 in the first quarter of 2019. For us, the most important driver of our efficiency ratio remains revenue, which has consistently grown at a double digit annual rate since TriState Capital Bank became a public company. Our scalable business model is also highlighted by TriState Capital's average revenue per employee, which was $680,000 annualized in the first quarter, and more than twice the average of our peers. Our top line growth in the first quarter of 2019 reflects strong contributions from each of our three businesses. At Chartwell Investment Partners, which generates most of our non-interest income, the very favorable momentum continues for this national business. First quarter investment management revenue grew nearly 6% to more than $9 million from the year ago period and superior performance by Chartwell's investment professionals remains paramount to its success. Through the end of the first quarter, 54% of our asset manager's products were ahead [Technical Difficulty] five year performance. Investment performance in our distribution team has positioned Chartwell to generate positive net inflows over the 12 months ending March 31, which we believe is likely to be unique among active managers. The net positive inflows of 32 million were on top of the $1 billion in client assets acquired last April, and total assets under management grew by nearly 17% over the last 12 months. Tremendous opportunities continue to exist in the active management space by top performers, particularly for those that are difficult to replicate with indexed or passive products. A perfect example is Chartwell's mid-cap value strategy, we recently announced that it ranked in the top 1% of peers for three year performance at the end of '18, while ranking in the top 3% for five-year performance and the top quartile for one year performance. It should be no surprise then that the mid-cap value strategy is a major contributor to net inflows over the last 12 months to the tune of some $136 million. Historically, this product has appealed to retail investors, as we built distributions for our growing mutual fund complex. More recently, the strategy's performance has also captured the attention of institutions and our consultants who are very interested in the mid-cap value strategy's concentrated portfolio of about 35 names. These factors make it very unique product that investors simply cannot find in an ETF or an index fund. The continued execution of our organic growth and acquisition strategy for Chartwell is an important part of diversifying the enterprise and revenues as well as expanding the products and services we provide to institutional investors and financial intermediaries. The expansion of our fastest growing business line, private banking lending, is also key to diversifying our revenues and de-risking the balance sheet. Private bank loans totaled nearly $3 billion in March 31, 2019, growing 27% over the 12 months and 560% since our 2013 IPO. These loans also grew by 16% annualized since December 31. The growth was fueled by private bank originations of approximately $250 million for the first three months of 2019. Private bank loan applications continue to indicate healthy demand, increasing by approximately 30% annualized in the first quarter of 2019 compared to the year ago period. This is a true national franchise and we continue to see no formidable competition. So our annual growth expectations for TriState Capital Private Bank loans remain in the 25% to 35% range for the foreseeable future. While our high net worth borrowers may use these non-purpose margin loans for any purpose, other than the purchase of securities, we believe the most frequent use today is for real estate purchases. TriState Capital works with financial advisors to provide clients with a convenient alternative to a mortgage or liquidating a portion of their investment portfolio for an all-cash purchase. Working with the advisor in 48 to 72 hours, we can underwrite, close and fund a six or seven figure loan over-collateralized by the borrowers' marketable securities portfolio, which we monitor daily. Our industry knowledge, commitment to not competing with these financial intermediaries and years of investments in technology, process and talent make all this possible. These factors also contribute to the zero loss history on our portfolio of marketable securities backed loans, which has an average loan to value ratio of less than 35%. We deliver price and manage these loans in a manner which we believe is unmatched among community, regional or even super-regional banks. This is why 195 independent investment advisory firms and other financial intermediaries have joined TriState Capital's referral network. These firms entrust us with valuable clients, registered investment advisors and data. It is a level of trust that we do not see them adopting with our primary competitors who may offer non-purpose margin loans to their own accounts. In fact, the exodus of teams and individuals from traditional warehouse broker dealers to join regional firms or become independent registered investment advisors creates the need to transition securities' accounts and associated loans to new platforms. These represent one-third of TriState Capital's annual private backed new loan production. We recognize the registered investment advisor trend when we started this business and as it gained momentum over the last decade. Most observers expect the regional firm and independent advisor channel to continue to see double digit annual growth in the years ahead. Turning to middle market commercial backing, this business started 2019 strong and we continue to be encouraged by our pipelines for both commercial real estate and commercial industrial lending. Total commercial loans grew to 2.4 billion at March 31, 2019, increasing by 20% from one year prior, and 16% annualized since December 31. Originations in the first quarter were approximately 75 million for commercial and industrial loans, and approximately 83 million for commercial real estate loans. The first quarter is traditionally one of our seasonally slower quarters for net commercial loan growth, so we're very pleased with how this year began. The quality of TriState Capital's well established and successful commercial clients continue to be illustrated by our superior asset quality metrics and very low credit cost in the first quarter of 2019. We recorded a significant recovery on an end market C&I credit that we charged off 5.5 years ago. This was the primary contributor to net recoveries in the first quarter. Though quite large, the successful resolution is typical of our proactive and persistent approach to challenge credits. In fact, fewer than 30 of the thousands of loans we've funded since the bank's inception have ever been written off. In the first quarter, we did report an increase in non-performing assets, largely from placing a single commercial and industrial loan on nonaccrual status. We've established a special reserve for the loan based in our analysis of issues we believe are specific to this particular company. The end market borrower's well established business and the loan is well collateralized paying and current [ph] today. In fact, TriState Capital Bank does not have a single commercial loan that has past due. TriState Capital's credit quality metrics continue to distinguish this bank. At the end of the first quarter, the bank's allowance measured more than 200% of non-performing loans, which is higher than most of our peers. In addition, NPA has represented just 16 basis points of assets on March 31 and NPLs were 14 basis points of loans. These two metrics remain some of the lowest among peers and they are well under the group's average and median levels. Turning to funding, the strategic expansion of our national deposit franchise and treasury management offering continues to fuel our loan growth and expand our client reach and relationships on a national basis. Our focus remains on durable relationships with sophisticated clients in the financial services and commercial niches that TriState Capital Bank has serviced since its inception. Treasury management deposits increased by about 180 million during the first quarter, supporting our goal of growing treasury management deposits by 500 million for 2019. Total deposits grew to 5.3 billion at March 31, 2019, increasing by more than 30% from one year prior and 23% annualized since December 31, outpacing loan growth over the same periods. We are extremely pleased by the deposit franchise that we've built and equally pleased by the strong client engagement we have for this part of our business across the country. Overall, we believe effective execution across all three of our business lines continues to be reflected in our financial metrics. We're not only sustaining positive momentum, but picking up the pace. We're reaching critical mass at both Chartwell and TriState Capital Bank, which is designed to enhance profitable growth at our investment management and banking businesses. And we continue to demonstrate our ability to strategically gather deposits and provide funding to support the exceptional organic growth of our private banking and commercial lending businesses. With the company on track to meet each of our full year financial performance goals, TriState Capital is very well positioned for the rest of 2019 and beyond. That concludes my prepared remarks this morning. I'll now ask David Demas, our Chief Financial Officer to join me for Q&A. Operator, please open the lines for questions.
Operator: [Operator Instructions] The first question will come from Michael Perito of KBW.
Michael Perito: Thanks for the prepared remarks, Jim. It was helpful. I have actually just a couple of specific questions I was hoping to address. Just wanted to start on the non-interest income side, the swap fees in Chartwell, the trends that were all good, it looked like the other income line, 1.1 million had a nice jump quarter-over-quarter, year-on-year. And I was just curious if you can provide a little bit more color about what drove that and if there's any sustainability in that figure.
David Demas: Mike, a couple of things, we expect, I know your comment is about the other income. But let me talk about swaps for a second. We expect swaps to continue to have a strong year, largely because of the long end of the curve continues to remain loans. So customers continue to want to lock in those long term rates. If you recall, in the fourth quarter, we talked about other income in an investment we made in some Chartwell funds that needs to be mark to market. So that fluctuates with the markets. The market has recovered nicely in the first quarter, as did that investment. And so that's what's pulling through in terms of other income.
Michael Perito: And what was the size of that, David in the first quarter?
David Demas: It was about $0.5 million.
Michael Perito: And then secondly, I wanted to just ask on the credit side, obviously, metrics are just about as good as [indiscernible]. Just a quick two-parter here. I guess, one, it does look like without the recoveries though that maybe, we're at a point now where with the growth, provisioning should be a bit more positive going forward? I guess, is that a fair comment, and two, just any initial thoughts on how CECL, now that we're approaching kind of the midpoint of the year, how CECL could impact the portfolio with - obviously, with the low loss around private banking, my guess is, it's not going to have a huge impact. But just curious if you guys have any thoughts there?
David Demas: Yeah. On CECL, we continue to remain on track with our plan. We've updated the audit committee as recently as this week, in terms of the progress against that plan. We're going to run in parallel for most of them in '19. We're not providing guidance in terms of the impact yet, we may do so later in this year. And then on the allowance, we continue to be very happy with our credit portfolio. It continues to remain quite strong, 55% of our loans are private banking loans, which are over secured by marketable securities. As Jim pointed out, we don't have a single commercial credit that's past due. And so I would say that we're at the best point in the cycle. And I think what we said in the fourth quarter, or in January, we would repeat again today, which is look at our long term three to five year average allowance to total loans, and that's probably where we will end up for the year.
Operator: The next question will come from Russell Gunther of D.A. Davidson.
Russell Gunther: Hey, I wanted to follow up on the C&I growth comments you made earlier, Jim. It was a very strong quarter, could you just share with us some of the growth dynamics from a regional or geographic perspective as well as maybe touching on some average loan size and any meaningful contribution in shared national credits or participation?
Jim Getz: All right. Much of this is a result of commitments that we've made over the past couple of years to bring on experienced bankers and position them in the five locations that we have. I would say on the C&I side, it was broad based across all those particular regions. And remember, I've consistently indicated that we would see that segment of the business growing more handily and it's because we've put the talent in place. And also to be quite honest, we have to thank people like BB&T Bank there in the Philadelphia region for providing us with quality personnel and also with an opportunity based on what's been going on there M&A wise, and we found that to be the case in any of our regions where we've had that type of activity. So I think you're going to see that C&I book of business continue, percentage wise, to outpace the commercial real estate business and the commercial real estate business for us will stay generally within the 30% of the loan portfolio. And we're within the guidance that the OCC has provided in that regard.
Russell Gunther: Okay. Thanks for the color there, Jim. And then just a bit of a ticky-tacky question for me on the treasury management deposits, you mentioned the 500 million of growth for the year, 180 this quarter. But where do those deposits stand on an absolute dollar basis today?
David Demas: Russell, there are approximately $900 million or so give or take.
Operator: The next question will come from Matt Olney of Stephens.
Unidentified Analyst: This is Adam on for Matt. David, with the Fed on pause, how does this change your strategy? Can you give us an indication of deposit pricing by month, just trying to understand if this is [indiscernible]?
Jim Getz: Matt, by month, we're really running this company on an annual basis, we can give you some direction that we see it headed on and things like that. But I think that's really an over the top question. Yeah, we'd be more than glad to put some analysis together to give you at a later point.
Unidentified Analyst: Okay, thank you. And for - just on an annual basis, you said you could give us some direction with that.
David Demas: Yes, so Matt, is your question to NIM or is your questions specifically on deposits?
Unidentified Analyst: Deposits?
David Demas: I think 25% of our book or deposit book reprices to either LIBOR or effective Fed funds. The rest is discretionary pricing on our part. We have seen deposit costs start to moderate in the first quarter. With the fed on pause, hopefully, that'll continue to pull through for the rest of the year. I think you'll see our deposit betas slow down relative to the rest of the industry. I think the rest of the industry is going to face much more pricing pressure than we do, because of the nature of our book and how we source our funds. And so I don't view deposit pressure - deposit cost pressure to be a big headwind for '19.
Operator: [Operator Instructions] The next question will come from Matt Schultheis of Boenning.
Matt Schultheis: So, quick question, a little sort of ticky-tacky perhaps, but on Chartwell, it looks to me like your expense base was about $0.5 million lower than the fourth quarter and year-over-year, and wanted to see what drove that down and if we can expect that to continue.
David Demas: Matt, they've made a concerted effort to halt the line on expenses. And what they've done is they've tried to freeze as best they could some compensation costs. So I think you will continue to see a moderation of expenses in that business over the course of the year.
Jim Getz: Yeah, you'll look, Matt and see that their margins in it and we've given some thought to that on the last call and their contribution to the company increased pretty handily in the quarter.
Matt Schultheis: Yes. And by a way of follow-up relating to Chartwell, are you still interested in acquiring in that space?
David Demas: Very much so and we stand by or reaffirm what we mentioned earlier on the call, we anticipate having something completed this year.
Operator: [Operator Instructions] We do have a follow-up from Michael Perito of KBW.
Michael Perito: Thanks for taking the follow-ups. I just had two things I wanted to address. First, just a follow-up to the prior question. Can you just give us a sense of where Chartwell's pre-tax margins are today and then just given the commentary from David about trying to halt on expenses, where you think those can trend, absent M&A over the balance of the year?
Jim Getz: Why don't I give you something that I think you would be interested in on the revenue side and then I'll turn it over to David who will talk about the margins there. If you look at Chartwell, going into 2018, they had about $8.3 billion of assets. And they ended '18 at about 9.2 billion, and they had a run rate of a little over $36 million of revenue at that point. If you look at it at the end of the quarter, the end of March 31, they had a little over $9.7 billion of assets. And they had a $38 million run rate. So it was up - the revenue run rate was up $2 million. And we see that expanding - we're beginning to see the impact of the commitment that we've made to distribution at this company and I believe over the next couple of years, you're going to see the same impact on this company that revenue has had on Chartwell also. This is going to be a revenue engine, just like you found that to be the case at the bank. Go ahead, Dave.
David Demas: Mike, we think about it on an EBITDA multiple and it's mid-20s now, and I would say that we'd expect that to get to high-20s, low-30s by - within the next 12 months or so.
Jim Getz: And Mike, to give you a precedent on that, if you look back and see where their margins were in '14, '15 and '16, that's exactly where they were.
Michael Perito: Right, before the Vanguard departure, and some of the other changes you guys made on the small cap stuff.
Jim Getz: That's right.
Michael Perito: Okay. And then just lastly, maybe following up on another question to, it feels like with the rate environment where it is that maybe we're at a point here where, if the deposit pricing pressure abates a little and we could see some margin stabilization, like we saw 1Q over 4Q, I guess, is that consistent with how you guys are thinking about it and it would seem like that would serve as a fairly good backdrop, steady margin with everything else you have going on, just curious what your thoughts are there.
David Demas: Yeah. If you look at this quarter, you see it all reflected in the pre-tax operating income. Okay. And that is a real judgment of how the core company is doing. So, we do expect that and we're seeing it moderate pretty handily at this point.
Jim Getz: Let's say, our pricing is current as of now, the pricing is flat because of the curve. And I think you'll seek continued composition improvement in terms of treasury management to total deposit. So, we think NIM might be flat to 10 [ph] to maybe up or down a couple of basis points over the course of the year.
Operator: The next question is a follow up from Adam of Stephens.
Matt Olney: Hey, good morning, guys. This is actually Matt Olney hopping on a few minutes late on the call. I don't think we've talked about this. And if we have, I apologize. As far as the nature of the addition to the NPA, it sounds like that borrower is still paying as agreed. Anything you can tell us about the nature of the loan downgrade?
Jim Getz: Sure. Couple of things on the nature of the company, this is a company and market. It's a company that we're very familiar with. We originated the loan in April 2009 with a commitment of some $10 million. It's now $5.1 million outstanding. We put a reserve on this of $1.2 million. We consider it to be over collateralized. And by that, I mean, it's 1.5 times book, which I think reasonable people will consider that over collateralized. It's always paid as agreed, it's current today, it's experiencing some cash flow issues due to a strategic decision that prior management had made in 2015 to reposition its sales organization, new management, it's now in place and addressing the issues and we're comfortable that we're well reserved on this loan.
Matt Olney: Okay, that's great detail, Jim. And then on the private banking side, you gave us some great stats around the growth there and the credits. And I believe you said the weighted average LTV is around 35%. Did I hear that correctly? It seems like it continued to decrease over the last few years.
Jim Getz: Yeah, it really has as we've built the business. So - and we believe that it will probably continue in that range of 30% to 40% ongoing into the future.
Matt Olney: And I guess, we've learned from some other banks not in this business, but in other businesses that there's some outlier LTV that can be higher, that can be damaging. So can you just talk about, if you were to go well above that LTV, what would the nature of the collateral be in such an example?
Jim Getz: The nature of the collateral that we have, it's all marketable securities, it's liquid, it's price to the market on a daily basis. It's not unusual for a client, if they're borrowing to take the - have the loan to value go up to 70% or 60%, or things along that that particular line. We keep them abreast of where they are with and their advisor where they are and the company that's supporting them where they are on a continual basis. And as you're aware, we put in the - this digital loan platform is in place and the advisor can, on a daily basis, check the status of that loan.
Operator: And this concludes our question-and-answer session. I would now like to turn the conference back over to Jim Getz for any closing remarks.
Jim Getz: Thank you very much. And I thank all of you for your continued interest in TriState Capital and your participation today. We look forward to talking to you at the next call. Thanks a lot and have a good day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines. Have a great day.